Operator: Good afternoon, and welcome to the TOMI Environmental Fourth Quarter and Year-End 2022 Earnings Conference Call. [Operator Instructions] It is now my pleasure to turn the floor over to your host, John Nesbett from IMS Investor Relations. John, the floor is yours.
John Nesbett: Good afternoon. Thank you for joining us today for the TOMI Environmental Solutions investor update conference call. On today's call is TOMI's CEO and Chairman of the Board, Dr. Halden Shane; TOMI's Chief Operating Officer, E.J. Shane; and TOMI's Chief Financial Officer, Nick Jennings. Dr. Shane will provide an overview of recent business highlights. E.J. will report on the company's growth and latest trends, and Nick will review the financial performance for the most recent quarter before addressing any questions you may have. A telephone replay of today's call will be available through March 30, 2023, the details of which are included in the company's press release dated March 13, 2023. A webcast replay will also be available at TOMI's website, www.tomimist.com. Please note that information contained within this presentation is relevant only to the day of which it was recorded, March 16, 2023. And we're, therefore, advised that time-sensitive information may no longer be accurate at the time of any replay. Certain written and oral statements made by management of TOMI may constitute forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. These forward-looking statements should be evaluated in light of important risk factors that could cause any actual results to differ materially from our anticipated results. The information provided in this conference call is based upon the facts and circumstances known at this time. The company undertakes no obligation to update these forward-looking statements after the date of this call. In addition, TOMI will discuss certain non-GAAP financial measures during this call. The company uses non-GAAP measures because it believes they provide useful information about the operating performance that could be considered by investors in conjunction with the GAAP measures. A reconciliation of these non-GAAP measures to comparable GAAP measures is included in the earnings release dated March 16, 2023. I will now turn the call over to TOMI's Chairman and Chief Executive Officer, Dr. Halden Shane. Please go ahead.
Dr. Halden Shane: Good afternoon, everyone. Thank you for joining the TOMI Environmental earnings call. Today, we will provide operating and financial results for Q4 and full year 2022, along with a favorable update on a few key current focuses of the company. This was a good quarter for us, capping off a very important year for TOMI Environmental. GAAP revenue grew 40% for the quarter and 8% for the year. We realized efficiencies in the business and in the fourth quarter significantly reduced our losses and reported a very small adjusted EBITDA loss of only $268,000, as we continue to make substantial progress to achieve a breakeven in our financial results. Let me provide a snapshot of a few key takeaways of why I think this quarter is very exciting. First, our business has improved, with more revenue coming from large custom systems, which we refer to as CES. These are larger longer-term orders which give us improved visibility to our growth, also growth in our CES customer base. And to an extent, our new mobility customers accelerate the growth of our higher-margin BIT solution sales, as we continue to see positive signs in the marketplace, as our fourth-quarter solution sales grew by 31% compared to our prior-year fourth quarter. Facilities that install custom permanent units generally don't make such large investments unless they plan to use the system as required. Second, as our initial CES was installed a while ago, interest in our fully automated decontamination system is the request of many today. We are just really starting to lift off. As they say, there's no substitute for hard work, and there's no such thing as an overnight success. We are at the point where the bigger life science companies know us and trust us, and our referral customers are some of the top 25 companies in the life science world. We have worked extremely hard to get accepted by these companies. On today's call, I have asked E.J., TOMI's COO to join and explain in detail the process the team undergoes to win these accounts and excitement that surrounds them for the company's future growth. Third, in the fourth quarter, you can see the strength of the economic engine we are creating. You can begin to see how we are on the cusp of sustained profitability. Why? Well, we have better long-term visibility, better than we have ever had. Two, gross margins are ticking up a bit, given revenue mix. Three, our SG&A came down substantially, even with increase in hiring. We have really focused on cutting expenses and ensure efficiencies. For example, we have utilized more engineering in-house rather than using outside firms. We believe our SG&A will grow much slower than revenue. Finally, our adjusted EBITDA was just below breakeven, and it won't take much to move to sustained EBITDA and net income profitability. We are truly on the cusp, assuming that active pipeline stays robust. The CES product line is a long sales cycle and becomes more of a partnership with the end-user company. Company's growth has now expanded to the management of not only current mobile unit sales, but a backlog of orders, and the management of this business aspects allows revenue to be recognized in future quarters. Our customer orders or contracts for mobile equipment, CES systems, and iHP services are subject to the delivery timelines demanded by our customers, which in turn affect the timing of the related revenue recognition. Our recognized revenue, when combined with our sales orders backlog for the year ended December 31, 2022, together, was approximately $10.4 million, which represents one of the best years we have had to date. The $10.4 million was comprised of recognized revenue of $8,338,000 and our customer sales backlog of $2,024,000 as of December 31, 2022. During our 2022 calendar year, we received over $10 million in customer sales orders, some of which were received from key global Fortune 500 customers. This represents 22% growth when compared to our calendar 2021. Increase in sales orders is largely attributable to increased demand for our CES and mobile equipment orders primarily from our life sciences, commercial, and food safety sectors. Our 2022 fourth-quarter revenue was $2,812,000, up 40% compared to our reported fourth-quarter sales in 2021. Our revenue for the fourth quarter of 2022 grew 60% sequentially over what we reported in the third quarter of 2022. From a sales volume perspective, this was the best stand-alone quarter resulting that we have achieved since 2020. Increase in sales is largely attributable to increased demand from our CES systems and our internal tech team's ability to execute and deliver the systems in the fourth quarter of 2022. In 2022, we also saw a growth in our sales results of our mobile equipment orders due to our expanded product line. Last quarter, we installed two systems and the applicator portion of the other CES order, recognizing revenue and maintaining timeline as reported. The building contractors are delayed on their end for two of the three systems referenced. Thus, the full amount of BIT solution previously reported to be projected for the year has been delayed by a quarter -- due to reasons outside of TOMI's control and commissioning to the systems are now slightly delayed. Winning additional bids for the CES has remained high priority, and we will soon announce these wins as they come in throughout the years. Approximately 400,000 in bookings were received at the end of last year for an ongoing project that automates the entire cell therapy manufacturing process from start to finish. This integration of iHP will automate decontamination throughout all stages of the cell therapy process, ensuring a full-coverage 6-log kill. We are on schedule for delivery this summer with multiple prototype systems and hope to, soon, publicly announce the partnership as the sole decontamination method for this cell therapy system. In addition, we are streamlining our superior product for life science industry by providing a simplified solution for decontamination chambers, cage washers, and modular clean rooms, in which we will be in production shortly. SteraMist disinfection decontamination is needed for laboratories to adhere to strict regulations and guidelines within the industry. As we have learned from COVID-19 pandemic, our product can reduce and eliminate the spread of infectious diseases. Our TOMI service network providers continue to combat outbreaks in their local areas against this latest pandemic, as well as bird flu, norovirus, monkeypox, E. coli, and Listeria. TOMI was alerted that one of its TSN providers were providing support for the Ohio train derailment, using SteraMist to disinfect local residential homes and surrounding commercial buildings. Yet another TSN member provided service to a large hospital system, providing them routine disinfection services combating COVID in 2020. And today, this servicing contract remains in effect, combating other pathogens daily. As we look to the future, we are advancing business development strategies, with the start of a new growth strategy in domestic distributions. Many agreements are in process and close to being executed and announced, expanding across multiple divisions. TOMI is establishing partners with well-known distributors in the animal science, life sciences, and further, the commercial divisions, entering into distribution agreements with aligned SteraMist equipment. This domestic distribution strategy will penetrate the domestic market and further SteraMist mobile equipment sales. International market, although a long sales cycle, is expanding and progressing nicely. National Health Services or NHS in Wales was a great win for the company last quarter, as they routinely promote us publicly. In addition, our novel partners in Australia and Germany have made a footprint in their country as well as the surrounding countries. Ongoing studies remain a focus as we continue to grow internationally and domestically. In Germany, we are undergoing studies to further showcase our efficacy on materials that adhere to strict life science regulations and guidelines. In the United States, we are working with government and contractors to prove effective against ricin and [sentinel] which is critically needed in this country. Other studies include direct spray on cannabis flowers to combat common and fungi, proving no effects on the oil and plant itself. At this moment, SteraMist is reporting successful results, and we hope to finalize these studies and soon share publicly. Food safety use has grown over 653% when comparing 2022 to 2021. New challenges to food safety will continue to emerge largely because of changes in our food production, food supply, storage complexities, transportation delays, including more imported foods. Changes in environment leads to food contamination, new and emerging bacteria, toxins, and antimicrobial resistance. Food safety presents an opportunity for significant growth for TOMI, with continued product research and compliance testing. Food safety industry in North America is under close scrutiny with the implementation and enforcement of new and established guidelines. SteraMist aerosolizing cold plasma technology is an effective decontaminant in the food safety industry. SteraMist can assist in compliance with the newly established Food Safety Modernization Act guidelines set in place by the FDA, as well as the Safe Food for Canadian Act and Safe Food for Canadian Regulations in Canada. Today's geopolitical aspects of farming and ranching has created an extra layer of concern for the protection of our global limited food supply including food transportation. TOMI continues to work with premium companies in testing and validating SteraMist technology in the food safety and seed industries. In 2022, we made progress in enhancing brand awareness in food safety industry by promoting and marketing this division. We are receiving an increase in inquiries within the food safety division directly from these efforts. Every day, there are news articles around the world pertaining to the contamination of food supply. With the global population explosion, severe worldwide avian flu pandemics resulting in unnecessary choline in bird flocks, unusually high accidents resulting in destruction of over 30 storage facilities, packing and processing plants -- and that's in the US alone -- we anticipate an increase in demand for a mechanical way to disinfect our food supply. TOMI has, in cooperation with the USDA, demonstrated that our technology offers a consistent, quick, and effective alternative to the transition -- traditional decade-old chemical disinfection process. SteraMist will deliver more consistent and quicker results in all areas of our food supply from farm to market, processing to packaging, and storage to delivery. We are currently pursuing all these avenues. Continued testing and market demand, coupled with our new BIT 0.35% hydrogen peroxide label, will make pursuing these opportunities successful. In addition, our solution and processes are environmentally friendly in that the by-product of SteraMist is only oxygen and water in the form of humidity. We have our solution listed on OMRI and labeled as organic. Most disinfectants leave residues on equipment, furniture, objects, and foods. SteraMist does not leave any chemical residue on any surface. We have a very low carbon footprint, if any, just oxygen and humidity. SteraMist is the perfect product for the global current issues in food safety. We are told we consume too much food, we produce too little food, and our farming screws up the environment. SteraMist is ready to assist in the defense of our food industry from wherever their needs are. I am now turning the call over to TOMI's COO to give additional overview on the CES sales and installation process and TOMI's pipeline. E.J.?
E.J. Shane: Thank you, Dr. Shane, and good afternoon, everyone. I appreciate the opportunity to report some of TOMI's growth and future trends on today's call. I personally join weekly calls for SteraMist projects for partially or fully automated installs that we have won or plan on closing in the near future, attend trade shows and answer general inquiries for our mobile units across all divisions both domestically and internationally. And there has been a strong transformation in these conversations. I used to have to introduce the science of our technology and the many competitive advantages ionized hydrogen peroxide or iHP has in comparison to new and old products alike. Today, many come to us already knowing our brand SteraMist. Therefore, conversations now begin: I know your technology is superior and understand the science behind it, so what applications can you offer for a facility that fits our budget? Basically, it becomes a pitch on the equipment and the product line of SteraMist. This makes maintaining interest for SteraMist easier, as we know the versatility of the technology and what our legacy units offer. And now with our experienced team, regarding our custom engineered systems or CES, TOMI is set to offer solutions to these potential opportunities with ease and a knowledge of the process. Earlier this year, we received news of being the global disinfection standard and acceptance for another premier company, which we had already established a strong partnership with in prior years. There have been proposals and purchase orders from significant companies looking to expand their usage of SteraMist throughout multiple facilities globally. To fully win a project for our CES, we must undergo a series of steps. This can be as simple as entering an NDA to share blueprints, and a minimal amount of engineering documents are exchanged, to as complicated as a series of meetings with contractors, engineers, electricians, building and safety management executives, and so forth. Once won, these mini meetings continue weekly and the timing of our delivery or install or even commissioning varies. The TOMI team was accelerated on a one-applicator SteraMist system to maintain project goals made by the customer, and I'm happy to report that TOMI has met these goals. And by the 27th of this month, the full SteraMist process will be completed, and that's fully recognized into revenue in the first quarter. To date, TOMI has successfully stayed on schedule and budget for implementation of this product line, whether it be the custom design, manufacturing, installation, commissioning, or qualification part of the process. That said, there are forces beyond our control that, at times, make it difficult to specifically predict when we will recognize revenue. As a point of information, the Avid installation has now been delayed until June because the electrical utilities have not been completed by their contractors because they are waiting for building permits to be approved. We are currently working with Avid's marketing team on the case study of their iHP system, which will be released this year, providing the TOMI sales team yet another referral report to use with their open opportunities. With our custom engineered systems, we deliver the physical system, but we also complete the last steps of commissioning and qualification to the system, which includes supplying the BIT solution. These last steps are critical to our razor-razorblade business model. For example, and as reported during our last two of our CES systems, we're installed at the end of last year, and we'll produce $250,000 in revenue of BIT solution a year. This holds true that these two systems are delayed for the iHP qualification part of the process until early next year. So full BIT solution reoccurring revenue attributed to these systems will begin to take place early 2024 rather than late this year. Our pipeline is very healthy. We are in ongoing conversations for approximately 25 custom builds, ranging anywhere from $100,000 to $2.5 million in revenue. A simple custom install can equate to $5,000 a year in BIT solution to a multi-applicator system continuous use of $250,000 or more a year in BIT solution. But it all depends on the end user's production facility and, unfortunately, with the many stages to the process and parties involved, timing is out of our control. In the life sciences, we are a global standard decontamination solution to many. This is not a statement to take lightly. The interest does not just lie with our custom builds. Becoming accepted by the global leadership of such companies, TOMI's SteraMist becomes easier to be approved by quality and safety alike, meeting new guidelines and keeping to old guidelines. At this time, I believe our fourth-generation environment system just released to our SteraPak model will move faster in this market than we have seen prior years, both domestically and internationally. This will be reflected in year-end revenue and open bookings for 2023, specifically with the parties we are pursuing to become distributors to our SteraMist brand. I would like to take the time to thank all the TOMI employees. We really have grown into an incredible efficient team. And I look forward to the success we will be part of this year and beyond, with the foundation we have set together. Now I'll turn the call over to our CFO, Nick Jennings.
Nick Jennings: Thank you, E.J., and good afternoon, everyone. I'll provide a brief overview of our financial results for the full year 2022 and the fourth quarter of 2022 compared to the prior-year periods. For the year ended December 31, 2022, compared to December 31, 2021, our consolidated net revenue was $8,338,000 compared to $7,754,000, representing an increase of $584,000 or 8%. Consolidated gross profit was 60.7% compared to 59.2%, representing an increase of 1.5%. The increase in our gross profit was due to our product mix and sales. The consolidated operating loss was $2,882,000 compared to $4,924,000, representing a 41% year-over-year decline. The improved operating loss was attributable to higher sales, increased gross profit, and lower operating expenses. Our consolidated net loss was $2,880,000 or $0.15 per basic and diluted share, compared to $4,435,000 or $0.25 per basic share. Adjusted EBITDA was a loss of $1,899,000 compared to $4,123,000, representing a year-over-year improvement of 54%. A table reconciling the adjusted EBITDA to the appropriate GAAP financial measure is included with today's press release. For the year ended December 31, 2022, and 2021, cash used in operations was $1,234,000 and $3,824,000, respectively, representing an improvement of $2,590,000. The improved cash flow from operations was primarily due to our low reportable loss for the year, which declined 35% when compared to the same prior-year period, as well as an increase of our deferred revenue, which is up $700,000. For the three months ended December 31, 2022, compared to December 31, 2021, our consolidated net revenue was $2,812,000 compared to $2,010,000, representing an increase of $802,000 or 40%. Consolidated gross profit was 58.6% compared to 54.5%, representing an increase of 4.1%. The increase in our gross profit was due to our product mix and sales. The consolidated operating loss was $706,000 compared to $1,734,000, representing a 59% year-over-year decline. The improved operating loss was due to higher sales, increased gross profit, and lower operating expenses. Our consolidated net loss was $705,000 or $0.04 per basic and diluted share compared to $1,735,000 (sic) [$1,660,000] or $0.10 per basic share. Adjusted EBITDA was a loss of $268,000 compared to $1,573,000, representing a year-over-year improvement of 83%. A table reconciling the adjusted EBITDA to the appropriate GAAP financial measure is included with today's press release. Now to move on to the balance sheet. As of December 31, 2022, our cash and cash equivalents were approximately $3.9 million. Deferred revenue was $700,000. Working capital was $8.8 million, and shareholders' equity was $11.4 million. Now I'd like to turn the call back over to Dr. Halden Shane.
Dr. Halden Shane: Thank you, Nick. 2022 was a year of establishing and preparing for considerable future growth of the company. We continued growing internal departments with new position and hires, applied and received additional intellectual property, streamlined internal controls, and entered into new agreements for more studies. We continued to undergo a website redesign to provide enhanced user experience and finalize new products to meet the needs of our divisions. As mentioned before, we continue to grow and need more space for new hires and product development. TOMI is currently under negotiations for an office expansion. We look forward to 2023 with new products and partnerships as we advance our company forward. Operator, let's open the call to questions.
Operator: [Operator Instructions] Sameer Joshi, H.C. Wainwright.
Sameer Joshi: Thanks. Good afternoon, everyone. Doc, E.J., Nick, congratulations on the progress that you have made over the last several quarters and, certainly, this quarter. On the OpEx front, good to see year-over-year reductions. But I do understand that, given your expected growth, you're making investments in office space, certain personnel hires. How should we look at OpEx going for the next 12 months?
Dr. Halden Shane: I think you will see an increase in operating expenses, as we are looking to continue to grow revenue. And the two go hand in hand to some extent. So as we ramp up more, there could be an increase there in the operating expenses.
Sameer Joshi: Okay. And the expected [Multiple Speakers] -- yes, go ahead.
Dr. Halden Shane: Our revenue from it is going to greatly outpace the expenses.
Sameer Joshi: Yeah, yeah. I mean, I had [presumed] there would be leverage there. Just a little bit specific on that. I think during the last quarter, you had mentioned you've had hired a new salesperson for the life sciences industry, and you outlined a lot of outreach for food and various verticals within that industry on this call. Are there any hires expected for sales in the food industry?
Dr. Halden Shane: We have hired people that are considered specialist in the area and that have moved -- allowed us to move our percentages up significantly in the food safety. And we're all very excited about food safety, as you can tell from the report. I can only see that this product becomes a natural in food safety. And we'll be fighting with life sciences of which division is the best in the company.
Sameer Joshi: Understood. And E.J., thanks for explaining the sales process. But would you just explain a little bit as to when you consider a particular project or order in pipeline as against in backlog -- meaning, of course, backlog would be in order, but what is the specific time for -- considering something to be in the pipeline?
E.J. Shane: Certainly. So it comes into the pipeline once we start towards the end of our conversations with these companies, and then we sign into contracts with them to win the bid. The recognized revenue of each of these build-ins are scattered throughout the project from the beginning of design to the equipment to the end of installation and commissioning.
Sameer Joshi: Okay. Okay. Thanks for that color. And then I had a specific question I think in -- while discussing life sciences applications. In the commentary, I think, Doc, you mentioned modular clean room development. Is this something that we should consider a product maybe with a strategic partner going forward? Or is this something that you are supplying to modular clean room manufacturer as a solution for them?
Dr. Halden Shane: So it's a specific customer, but it's a design that can apply to many customers that produce and design modular clean rooms around the world. E.J., do you want to comment a little further on the advancements in that?
E.J. Shane: Of course. Yeah. So we're actually working with manufacturing companies of cage washers, decon chambers, and these module build-ins. There's about four companies that are really well known globally in which we're creating a turnkey solution of our iHP system to integrate nicely with them, in which they would manufacture and assist in the sales process of those deliverables.
Sameer Joshi: Got it. And last one from me. In the food vertical, are you seeing more interest in one vertical rather than other than -- for example, the controlled environment agriculture industry? It's growing, and it's open to new technology. Is that the field that you're seeing more a spill from?
Dr. Halden Shane: Yes, we're -- all aspects of it. I think the -- I think everybody's a little frustrated. I mean, I know all of the -- most people are about the cost of food today. And a lot of it is a result of what's going on in the safety and the delivery and the storage of food. It used to be that nobody wanted in the industry to spend any extra money in protecting that, but it became such a viable expensive commodity today that we're getting lots of interest from food manufacturers from -- whether they package seeds -- which we're dealing with the world's largest seed producer to go ahead and disinfect the seed packages before they put them in the package -- to storage facilities and organic farming, vertical farming. So I see this going all over the place and all over the world in relationship to just food safety, and our products are natural for it now.
Sameer Joshi: Great. Thanks for that color, and thanks for taking my questions. Good luck.
Dr. Halden Shane: Thank you. Thanks so much. Thank you.
Operator: [Operator Instructions] John Nelson.
Unidentified Analyst: Thank you. Hi, Halden. Good job on the quarter. One question - and the opportunity sounds very exceptional for the future. But one question on -- do you have any goals for profitability timing? I know you are very close on an adjusted EBITDA basis this quarter, but how about for in the coming year? Do you see a profitability anytime soon?
Dr. Halden Shane: Definitely, in the coming year. And very likely, it could be in the next quarter or next two quarters.
Unidentified Analyst: Okay, great. The -- I was -- I wondered about whether your product could be used because there's going to be a significant amount of construction done in new semiconductor plants throughout the country, and they have a substantial amount of space dedicated to clean rooms. Would SteraMist be applicable for use in such a facility's clean rooms?
Dr. Halden Shane: Most definitely. In fact, we've done the studies on them already, and it's something that every clean room in the semiconductor industry should be using SteraMist just like Pfizers and Mercks do in their clean rooms. So most definitely. Good question, John.
Unidentified Analyst: Are you dedicating or directing a number of salespeople to investigate that -- those opportunities with the companies involved?
Dr. Halden Shane: Since you asked the question, we're definitely going to do it.
Unidentified Analyst: Okay. All right. Great.
Dr. Halden Shane: [Multiple Speakers] John, with all these other stuff, but it makes all the sense [for us then]. And that's the person we should be looking for somebody that handles clean rooms. Thank you.
Unidentified Analyst: Yes. Also, any information on -- I know at one time, you had done some work with one of the ServPro franchisees. And I wondered if there was any information you could give us on potential penetration of ServPro.
Dr. Halden Shane: I can't -- we've been focused really on these life sciences and food safety and TSN members. We're still looking for that magical person to go out and pursue them. But --
Unidentified Analyst: Okay.
Dr. Halden Shane: I'll keep that in mind. And we do have a lot of other larger facilities bigger than ServPro that are very interested in using our technology for their application and their toolbox.
Unidentified Analyst: Okay. Good. And has there been any -- I know this is a question I ask every quarter, and I know there are some administrative and bureaucratic issues involved. But anything further on the UCLA hospital cleaning study versus manual and publication timetable?
Dr. Halden Shane: Yeah. They're still working on this publication. It's hard for me to get them down as timetable, but the results are fantastic. And I believe we'll have an announcement from UCLA soon about further application use, but it's hard to push them. They've put out so many papers, and it's kind of in a holding pattern like landing at LAX right now. When our time is there, it will happen.
Unidentified Analyst: Okay. That would be great. My brother -- I have a couple of brothers who are doctors, and they say this makes so much sense as far as the utilization of SteraMist in the hospital cleaning setting.
Dr. Halden Shane: It absolutely does, and we've proven to UCLA that in their ICUs, we can clean their ICUs in less time than they currently do manually with unbelievable results. So it's getting them -- it's getting the industry -- not so much UCLA -- but getting the industry to wake up after the COVID pandemic and have an interest in furthering other infectious disease protocols and put them in place. Right now, I think everybody is recovering and exhausted from it. But yes, we are working on that.
Unidentified Analyst: Okay. Understood. And I might have missed this on the call, but was there any discussion on progress on the ambulance project?
Dr. Halden Shane: Yes. We didn't mention it on the call, but there is. E.J., do you want to talk a little bit about the ambulance project?
E.J. Shane: Yes. So we continue to work with the hospital and their team in developing our transport, which the final touches on the design are being made. And we should be in production within the next month or so.
Unidentified Analyst: Oh, good. And have you -- are you waiting for actual production of units, or are you going out and marketing the product at this time?
E.J. Shane: We are quietly marketing with our current customer base, and then we'll mass market once production is planned out in terms of real deadlines on procurement process and support.
Unidentified Analyst: Excellent. That's all I have for questions. Thank you very much.
Dr. Halden Shane: Thanks, John.
Operator: Carl Wright, [ph] OakTree Partners.
Unidentified Analyst: Hi, thank you for taking my question. So it sounds like you have a great operating leverage in your business. It could happen over the next few years, particularly given the CES growth. And just to make sure I understand, how should we think about the gross margins on your solution versus your hardware?
Dr. Halden Shane: So the CES growth is tremendous, and it's a natural for the company -- we -- our razor-razorblade model is the technology. Let's say, the CES is the razor, but the solution is the razorblade. Like we said on the call, that can be anywhere from $5,000 to $250,000 a year per unit, depending upon usage. So the natural is to -- our margins are extremely high as most chemicals are in the industry. And it's getting enough equipment out there to utilize as much solution as possible, and our margins should theoretically grow because our margin on the solution is much greater than the technology.
Unidentified Analyst: Okay, got it. Thank you. That's it from me. Thanks for taking my question.
Dr. Halden Shane: Thanks so much. Thanks for your question.
Operator: Thank you. And there are no further questions in queue at this time. I would now like to turn the floor back to management for closing remarks.
Dr. Halden Shane: I just want to thank everybody for listening to our year-end, and I look forward to reporting on our first quarter and the coming months. Thank you, all. Have a wonderful day or evening or morning, wherever you might be located. Thank you, operator.
Operator: Certainly. Thank you. This does conclude today's conference call. You may disconnect your phone lines at this time, and have a wonderful day. Thank you for your participation.